Operator: Welcome everyone to the Lancaster Colony Corporation third quarter fiscal year 2008 conference call. Conducting today’s call will be Jay Gerlach, Lancaster Colony’s Chairman and CEO and John Boylan, Vice President, Treasurer & CFO. (Operator Instructions) Now, to begin your conference here’s Earl Brown, Lancaster Colony Investor Relations.
Earl Brown: Let me also say thank you for joining us today for the Lancaster Colony third quarter fiscal year 2008 conference call. Now, please bear with me while we take care of a few details. As with other presentations of this type today’s discussion by Jay Gerlach, Chairman and CEO and John Boyland, Vice President, Treasurer and CFO will contain forward-looking statements of what may happen in the future including statements related to Lancaster Colony’s sales, prospects, growth rates, expected future levels of profitability as well as the extent of share repurchases and business acquisitions to be made by the company. These forward-looking statements are based on numerous assumptions and are subject to uncertainties and risks. Accordingly, investors are cautioned not to place undue reliance on such statements. Factors that might cause Lancaster’s results to differ materially from forward-looking statements include but are not limited to risks relating to the economy, competitive challenges, changes in raw materials costs, the success of new product introductions, the effect of any restructurings and other factors as are discussed from time-to-time in more detail in the company’s filings with the SEC including Lancaster Colony’s report on Form 10-K. Please note that the cautionary statements contained in the Safe Harbor paragraph of today’s news release also applies to this conference call. Now, here is Jay Gerlach.
John B. Gerlach, Jr.: While we were with the strong sales in our specialty food segment for the third quarter commodity cost have virally impacted our operating margins. Overall, our food commodity costs were up over $18 million in the quarter while we recovered approximately $9 million in pricing. Two of our key ingredients soy bean oil and flour saw second to third quarter average costs increases of approximately 25% each. Retail pricing previously increased last July was again increased on March 1 with a further increase planned for the upcoming July 1. Food service pricing among our larger restaurant chain accounts has also been subject to adjustment although with some lag affects. I’ll come back to our segments but first, here’s an update on our capital uses. During the March quarter we repurchased 725,862 shares for $26.9 million and year to date we have repurchased 2,070,000 for $80.6 million leaving 28,000,723 shares currently outstanding and 1,275,000 shares authorized for repurchase. Our capital expenditures for the quarter were $3.6 million and totaled approximately $16 million for the nine months. For the year, capital expenditures will likely come in between $20 and $23 million. Touching briefly on our remaining non-food operations glassware and candles, saw sizeable sales decline after our consumer glass divestiture in the second quarter. Candles sales were almost flat in the off season third quarter. Earnings will off about $1 million in the segment reflecting the loss contributions from the divested entities and for candles lower capacity utilization and higher was costs. Our automotive segment now made up of just our DZ Aluminum Truck Accessory business saw decent 6% sales growth in the slow market due to new and existing programs. Operating income was up about $900,000 from improved operations and some pricing. In our primary business, specialty foods, net sales increased $19 million or almost 11% with nearly one half the growth from pricing and the other half from new products, the Marshall’s acquisition and base business growth. Among our newer products, Newark brand Texas Toast Croutons and Pizzeria Dipping Sticks were good contributors. The early Easter likely helped volume a bit in the quarter as well. While pressured by unprecedented ingredient costs we continued to support our key brand and product line through promotional spending, marketing and new product development investment. We were pleased to see sales improve in this challenging environment for the consumer. Let me ask John to give you a brief update and then I’ll finish with some comments about the upcoming quarter and year.
John L. Boylan: I thought I’d start out by discussing several key components of our consolidated balance sheet. Lancaster’s consolidated accounts receivable at March 31, 2008 totaled $89,831,000. This amount represented a 3% decline since last June and 7% since last March. Our exiting various class manufacturing led to these declines although the strength of our food segment sales have somewhat offset this affect. With respect to our inventories we have a somewhat similar story. Here, our consolidated total of approximately $130 million at the end of this March decreased about $19 million or 13% from the level of this past June. Year-over-year our March inventory declined about $10 million or 7%. While we were pleased with progress made in reducing automotive segment inventories the decline primarily reflected lower glass inventory. Higher volumes and costs contributed to increased food inventory levels as well. Moving down the balance sheet to our net property balance at March 31st I’d point out that this total also declined by over $14 million since last June is influenced by the actions involving our glass operations. However, total capital expenditures during the nine-month period were $16,003,000 with the most significant project by far related to the completion of our new frozen roll manufacturing facility in Kentucky. With respect to borrowings our net debt of roughly $65 million has increased about $31 million since June 30 in part reflecting the extent of cash returned to shareholders in the form of share repurchases which totaled $76,759,000 for the nine months ended March. Such repurchases contributed to the greater than 6% reduction in shares outstanding at March 31st compared to June 30th. Still, our gross debt outstanding remains a relatively modest 17% of total capitalization. Except for the items I’ve already discussed I believe the other changes in our balance sheet components are relatively unremarkable. Turning to cash flows, I’d like to share a few items for your consideration. For the nine months ended March 31, 2008, Lancaster’s consolidated cash flows provided by operating activities of continuing operations totaled approximately $72 million which is somewhat above the $70 million level a year ago. Comparatively favorable changes in working capital components and non-cash charges such as the loss on the glass divestitures more than offset the impact of the lower level of consolidated net income through March. Within the current fiscal year depreciation and amortization for the first nine months totaled $22,276,000 and shareholder dividends were $24,603,000. In concluding my remarks just a brief comment on our tax provision for the quarter. Our effective tax rate for the quarter of 33.9% was a tad lower than normal reflecting an estimation change relating to certain of our state and local provisions. We anticipate a fourth quarter rate closer to that of the effective year-to-date rate. I appreciate your attention this morning. I’ll now turn the call back to Jay.
John B. Gerlach, Jr.: We began our fourth quarter with commodity costs remaining at high levels. Our forward buys on key ingredients plus price increases would suggest a better quarter for specialty foods than our third but still a challenge versus last year. Our July 1 price increases should let us get to better comparisons in fiscal ‘09 if commodity costs are reasonably stable at current levels. Demand is the other big concern with much speculations on what consumer spending will be like in coming months. We share that concern as so much food and energy inflation is hitting the consumer. New product and marketing programs happening in the fourth quarter include under the Marzetti brand new light refrigerated salad dressings and veggie dips, a new cinnamon caramel apple dip. We’ve also begun a transition of our Marzetti refrigerated salad dressing to all natural which should be complete by June. Also being introduced under the New York brand is a ciabatta cheese roll. We’ve also recently introduced a 100-calorie pack versions of a couple of our veggie and fruit dip product lines. Shortly we’ll be rolling out to co-branding relationships, one each in the food service and retail channels that we are very excited about. The one we can talk about today is a new line of all natural no preservative dressings for our long time customer Wendy’s. The individual dressing packets in this program will be branded with the Marzetti and Wendy’s name. The product should be reaching stores over the next several weeks. Demand is at least of as great a concern in our non-food product lines with lower plant utilization levels likely to be with us through the quarter. We continue to focus on cost productions throughout our operations which include things like SKU reductions, tighter control of product waste, manning throughout the organization and automation and efficiency projects. In our specialty food group we’ve also supplemented our internal efforts to improve our operational effectiveness and address escalating input costs by utilizing some outside operational and systems consultants to provide some objective insights. Having addressed our most pressing capacity needs with significant capital investment over the last couple of years we are now anticipating a return to more historically typical capital expenditure levels for the foreseeable future. Our strategic alternative work is very much continuing yet with no specific news this morning. Acquisitions are very much on our agenda and while still not seeing a lot of deal flow we are finding at least a couple of new things to consider. With that we’re prepared to take questions.
Operator: (Operator Instructions) Your first question comes from Mitchell Pinheiro – Janney Montgomery Scott, LLC.
Mitchell Pinheiro – Janney Montgomery Scott, LLC: A couple of things, in the specialty foods side you had mentioned half the growth of the 11% was pricing and half let’s just say new products, acquisitions, product mix. Could you help me tie in first of all I thought the price increases in March were roughly 3% and I know that’s not a full quarter but where do you get the plus 6% or so in pricing? I didn’t think it was going to be that strong?
John L. Boylan: I think year-over-year that includes some impact of pricing that was done earlier in the year plus the March 1 pricing. Then as we’re talking about pricing what you’re typically talking about retail pricing at those particular points in time, there is foodservice pricing that goes on at various points in time as we’re able to pass on the increased commodity costs.
Mitchell Pinheiro – Janney Montgomery Scott, LLC: If I recall maybe nine months ago you were getting 2% or 3% on the retail side, is that right? Then, plus this March, am I missing any price increases?
John L. Boylan: Again, I think that’s it and that’s again when we’re talking about retail those were the two primary times we were doing that but the other half of the business being foodservice would be going on throughout that whole period of time.
Mitchell Pinheiro – Janney Montgomery Scott, LLC: So, price increases in the non-retail side were obviously a lot stronger?
John L. Boylan: Well, maybe a little bit stronger, yes.
Mitchell Pinheiro – Janney Montgomery Scott, LLC: Well if half your business is getting 3% of 4% and the other half, I got you, I’ll do the math later. So, you had a $9 million net incremental impact from the higher commodity costs if you had $18 million increases and $9 million in pricing is that correct.
John B. Gerlach, Jr.: That’s a fair ballpark, yes.
Mitchell Pinheiro – Janney Montgomery Scott, LLC: Is that number as you look in to the fourth quarter are we seeing incremental improvement or a slowdown or is it going to remain that type of quarterly impact?
John L. Boylan: Well, I’d say we’re probably in that area anyhow of still that impact.
Mitchell Pinheiro – Janney Montgomery Scott, LLC: Was that net $9 million for special?
John L. Boylan: I’m sorry Mitch I’m not talking about the net number, I’m talking about the gross number of material costs impact. There will be a greater benefit from pricing having again that March 1 price increase the whole quarter and again some ongoing foodservice pricing throughout the quarter.
Mitchell Pinheiro – Janney Montgomery Scott, LLC: And that $9 million net or the $18 million gross cost increase was that specialty food only?
John L. Boylan: Yes, we’re just talking about specialty food, that’s right.
Mitchell Pinheiro – Janney Montgomery Scott, LLC: Can you quantify how much you think an early Easter may have helped this quarter?
John L. Boylan: We don’t have specific number Mitch, it had a little bit of an impact, I don’t think it was huge, I’m not sure if it could have gotten to maybe seven figures but probably not much beyond that.
Mitchell Pinheiro – Janney Montgomery Scott, LLC: But, I would have to pull that out of Q4 you would think, right?
John L. Boylan: Yes, that’s probably fair as you compare it to last year, yes.
Mitchell Pinheiro – Janney Montgomery Scott, LLC: What was the growth of the category at retail? The refrigerated dressing category in the quarter?
John L. Boylan: Mitch, I don’t have that right here. That’s a number we can get for you but I don’t have that right now.
Mitchell Pinheiro – Janney Montgomery Scott, LLC: Did you gain share? Loss share? Maintain share?
John L. Boylan: The data we would have would suggest we did gain some share although I don’t think our data is specifically aligned to March 31st exactly. But, yes, I think that’s the case. Actually, we’re looking here, we might get something for a category growth number for you.
Mitchell Pinheiro – Janney Montgomery Scott, LLC: On the foodservice side, could you color demand trends that you anticipate looking out over the next three and six months?
John L. Boylan: Well, I think at least based on what we see happening in the business today it’s holding up really pretty good, better than we might have expected but we remain concerned with a lot of our customers talking about their concerns on store traffic and stuff. But, I think we’re reasonably positive about what we see coming. Our business is maybe skewed a little bit to the quick service guys and it there’s a trading down going on then perhaps we’re seeing a little bit of benefit from that.
Mitchell Pinheiro – Janney Montgomery Scott, LLC: Would there be like a channel fill with that new dressing products for Wendy’s?
John L. Boylan: No, that’s just a running change actually. So, no there isn’t a big channel fill there.
Mitchell Pinheiro – Janney Montgomery Scott, LLC: Then just one more question on the food, you mentioned something about outside consultants?
John L. Boylan: Yes.
Mitchell Pinheiro – Janney Montgomery Scott, LLC: How big of an expense was that in Q3?
John B. Gerlach, Jr.: It was a small six figure expense Mitch.
Mitchell Pinheiro – Janney Montgomery Scott, LLC: The same type of expense in Q4?
John L. Boylan: No. At this point I would say not, it should be less. Mitch, back to your previous question, the category number we would show is up about 4% but that pretty much seems to be pricing on the refrigerated dressings and, we definitely did grow share in that period of time.
Mitchell Pinheiro – Janney Montgomery Scott, LLC: Did you gain unit share?
John L. Boylan: Yes.
Mitchell Pinheiro – Janney Montgomery Scott, LLC: Then the last question, just looking at the glassware and candles, what should I use as a comparative number from last year?
John L. Boylan: Generally what we’ve said for the full year Mitch is that candle sales made up roughly two thirds of segment sales. What I would tell you in the fourth quarter since that’s an off season candle the glass proportion of sales in the fourth quarter would have been higher than a third and approaching a half. I don’t have the specific numbers with me but I think it’s not quite half would have been glass sales a year ago in the fourth quarter.
Mitchell Pinheiro – Janney Montgomery Scott, LLC: And in the third quarter it would have been again just roughly, as you said in your comments, candles were flat in the quarter?
John L. Boylan: Correct.
Mitchell Pinheiro – Janney Montgomery Scott, LLC: So, last year’s numbers on a sales line are basically flat? It’s all candles now.
John L. Boylan: There is a small amount of glass distribution that is left, not glass manufacturing. But, by far the preponderance of sales left would be candle sales.
Mitchell Pinheiro – Janney Montgomery Scott, LLC: Final question is just concerning the [inaudible] facilities, are margins still improving in those facilities? Are you getting the benefit you had expected in terms of your cost efficiencies?
John L. Boylan: Yes, I think we are seeing that Mitch. I think the one thing to keep in mind is we’ve built two facilities, one on the dressing side and the other one on the frozen bread end and while they’re both there to support and drive growth in the business, the bread side of it created more growth capacity than what we saw in the dressing. So where on the dressing side we were able to bring a lot of co-pack product and over time production at other plants in house and fill that plant up to a greater utilization level quicker than what we’re doing on the bread side because while there was a little bit of that overtime we could bring in there a lot of that capacity is going to be used for future growth. Which we’re seeing but, it’s not getting absorbed as fast as it was on the dressing side.
Operator: Your next question comes from [David Liebowitz].
[David Liebowitz]: Briefly Jay you indicated something to the effect that if your raw material costs do not increase appreciatively from current level your price increases will bring you back to the appropriate profit margins for next fiscal year or did I misunderstand what you were saying there?
John B. Gerlach, Jr.: Well, I would necessarily say appropriate profit margins at this point but we think it should let us get to favorable comparisons as we get in to first quarter of fiscal 09.
[David Liebowitz]: And would you anticipate further increases at your selling price even if raw material costs do not go up from current levels?
John L. Boylan: I’d say that’s not necessarily likely. We’d certainly be evaluating our entire costs component as well as market conditions but I’d say that’s unlikely if they’re not commodity cost driven. I think we like virtually anybody in the food business these days is concerned about what these higher retail prices are going to do to consumer take away and I don’t think the consumer yet has seen the full impact of all the increases that are happening out there. So, we’ll definitely be sensitive to that aspect as well.
[David Liebowitz]: What about the mix between foodservice and the retail channels? Is there going to be much change in that percentage going forward?
John L. Boylan: I think if any change probably modest as we currently see it David. Market conditions could obviously drive something more significant but as we look out longer term we like to think we would see a little bit of movement of the mix to the retail side but I’d emphasize a little that it isn’t going to change by five or 10 points in a short period of time.
[David Liebowitz]: And on the last quarterly conference call you indicated that there were two potential acquisitions you were still looking at, is there anything further to report? Is that dead now?
John L. Boylan: Not dead, still alive but not moving as fast as we’d hoped by any means.
[David Liebowitz]: And are both of them still alive or only one of the two?
John L. Boylan: Actually, both of them right now.
[David Liebowitz]: And are there any others on the horizon that you’re in preliminary stages with or is it simply these two?
John L. Boylan: Yes, we’ve got at least one other one that we’re taking a hard look at right now.
[David Liebowitz]: And is it also in the $75 million range or the $25 million range?
John L. Boylan: At the lower end of that I guess.
Operator: Your next question comes from [Cory Ormond].
[Cory Ormond]: I’m new to the story and I was just wondering if you’ve ever provided in general terms how much of your food segment cost of goods sold is comprised of the food commodities such as wheat and soybean oil?
John L. Boylan: We’ve not talked just about those two but more broadly. All the raw material input on the food side I think we’ve talked about a range of 65% to 70% cost of sales, probably at the higher end of that range, at least right now.
[Cory Ormond]: Is it more heavily weighted towards wheat or soybean oil specifically?
John L. Boylan: It’s probably still more heavily weighted to soybean oil today.
[Cory Ormond]: And are corn sweeteners a component as well that is a material portion of the cost of goods sold?
John L. Boylan: They’re in there, I wouldn’t say a huge portion but they’re one of many ingredients, yes.
Operator: At this time there are no further questions.
John B. Gerlach, Jr.: We appreciate you joining us this morning. Please if you have any follow up questions don’t hesitate to give either John or I a call. Thank you and we look forward to talking to you with our year end results in August.